Operator: Good morning, and welcome to the Shoe Carnival Third Quarter 2022 Earnings Conference Call. Today's conference is being recorded. It is also being broadcast via webcast. Any reproduction or rebroadcast of any portion of this call is expressly prohibited.  
 Management's remarks may contain forward-looking statements that involve a number of risk factors. These risk factors could cause the company's actual results to be materially different from those projected in such statements. Forward-looking statements should also be considered in conjunction with the discussion of risk factors included in the company's SEC filings and today's earnings press release. Investors are cautioned not to place undue reliance on these forward-looking statements, which speak only as of today's date. The company disclaims any obligation to update any of the risk factors or to publicly announce any revisions to the forward-looking statements discussed on today's conference call or contained in today's press release to reflect future events or developments.  
 I will now turn the conference over to Mr. Mark Worden, President and CEO of Shoe Carnival for opening remarks. Mr. Worden, you may begin. 
Mark Worden: Good morning, and welcome to Shoe Carnival's Third Quarter 2022 Earnings Conference Call. Joining me on today's call are Kerry Jackson, Chief Financial and Administrative Officer; and Carl Scibetta, Chief Merchandising Officer.  
 As announced in this morning's press release, Shoe Carnival delivered earnings per share of $3.17 during the first 9 months of the fiscal year, which is more than double any full year of earnings in our 44 years of operation, except for one. I'd like to thank our nearly 6,000 team members for this accomplishment and their commitment to excellence for our customers, our communities and our shareholders.  
 Throughout Q3, American households continued to face a challenging inflationary environment, putting pressure on their disposable incomes and on our traffic. Despite the macroeconomic volatility, the company's strategic plans to expand customer accounts and double operating profit margins versus historical levels continues to work.  
 Q3 earnings per share of $1.18 exceeded consensus expectations, and profitability growth has continued to accelerate each quarter as 2022 progressed. Our merchant organization and close partnership with our strategic vendors continues to deliver the freshest product assortments from our customers' favorite brands and eliminate unprofitable promotions while our operators provided exceptional customer service. This resulted in Q3 operating profit margins of 12.8%, the highest result of the year and marked the seventh consecutive quarter in double digits. Similar to Q2, we were encouraged that the Q3 operating profit margins delivered sequential growth above the 12.4% operating margin achieved during Q2 and the 11.1% in Q1.  
 To further illustrate the profit transformation the company has achieved, operating profit margin was 6.0% for the prior 10-year period. As discussed in previous earnings calls, throughout 2022, we have been lapping the stimulus-impacted 2021 quarters. The more normalized quarters with no stimulus benefits in 2022 continue to provide management, clear visibility into the sustainability of our operating profit levels. As such, we are raising our operating profit margin expectations for 2022 and providing guidance today to achieve between 11.5% and 11.7% operating margins, nearly doubling the company's prior 10-year historical levels.  
 We believe the best way to understand the underlying sales and customer growth sustained at Shoe Carnival during this COVID-impacted and stimulus-benefited recent years is to benchmark back to 2019. Overall sales grew 21.9% for the first 9 months of fiscal 2022 compared to 2019. For Q3, sales of $342 million achieved growth of 24.4%. Customer counts for our loyalty membership surpassed 30 million for the first time at the end of Q3, setting a new record of 31.5 million members, up approximately 35% compared to 2019 and up over 10% versus 2021. 
 The continued growth of loyal customers is the strongest indicator that our brand is resonating with customers across geographies, across demographics and across our multiple banners.  
 Looking at customer trends. Nonathletic sales continued to be hot, up 35.1% versus 2019. And encouragingly, athletic sales stabilized in Q3, up 4.4% versus 2019, driven by improvements in inventory positions and reduced supply chain challenges as the quarter progressed. Carl will provide a comprehensive overview of category results shortly.  
 We're encouraged to share that earlier this month, we surpassed the $1 billion sales mark, and a Q3 sales of $342 million was the second highest sales result of any quarter in the corporation's 44 years.  
 During Q3 of 2021, the company grew net sales 29.8%. Compared to 2021, net sales were treated only 4.1% during Q3 2022, holding over 24% growth from the stimulus-infused prior Q3 and, as said, surpassing every other prior quarterly sales results.  
 With $3.17 of EPS achieved during the first 9 months of the year and approximately 10 weeks left in the fiscal year, we are on track to achieve earnings per share between $3.95 and $4.10. With that said, we expect our customers face a historically high inflationary environment throughout Q4 and throughout this holiday season, which will put pressure on their disposable incomes and likely on our traffic. As such, we anticipate the most likely outcome is to deliver sales on the lower side of our annual 2022 guidance and to deliver EPS on the mid- to lower side of our annual guidance.  
 Moving on now to an update on progress to our key strategic plans. First, we continue to make significant progress on our fleet modernization program. Our plan to have over 50% of stores modernized by the summer of 2023 is on track, with 41% complete currently. In addition to the modern Shoe Carnival experience rolling out now, we are grand opening a Shoe Station modernized prototype store later this month and new store openings in both Alabama and Georgia.  
 Second, our Shoe Station banner continues to outperform expectations on all fronts. Sales surpassed $75 million during the first 9 months of 2022. We continue to expect Shoe Station sales and profits to exceed our original full year expectations of $100 million and 10% operating profits by the mid-single to low double-digit range.  
 Our integration efforts of the recently acquired banner continue to pace ahead of our preliminary time lines. We're starting to realize significant back-office synergies as well as gaining efficiencies and best practices across merchandising, operations and marketing.  
 New store site identification efforts continue to progress throughout the South, and we expect to grow the 21 store chain acquired to approximately 30 stores by the end of fiscal 2023, and we aim to surpass 100 stores during the 2026 to 2028 horizon. To note, 2 new stores tentatively planned for January 2023 soft openings were shifted to spring of 2023 openings to enable the rollout of the new Shoe Station store prototype design and to open with the freshest spring product assortments.  
 Third, we continue to elevate our advanced CRM, analytics and digital marketing capabilities, which allow us to have one-on-one communication with our customers. These highly profitable tools give us a targeted platform to reach our customers via text and email and we're able to drive sales at attractive margins and without deep, unprofitable promotions.  
 During Q3, we completed the Shoe Station integration into our CRM organization and platform technologies. We extended our Shoe Perks loyalty program across both banners and are nearing the final development stages for the new shoestation.com rollout, which is targeted for holiday 2022 or early 2023. Many wins have already been achieved, such as adding over 1 million Shoe Station customers as a part of our loyalty program. With this data in hand, we've been able to confirm that the core Shoe Station customer demographics aligned with our initial expectations when it was acquired: that of a higher-income, suburban customer that is proving out to be resilient to the current inflationary environment.  
 Two major customer advantages are now starting to be leveraged for incremental sales locations and increased loyalty. First, customers can now earn points and rewards at either of our banners and redeem those rewards across either banner. Second, we now can introduce all of our 31.5 million customers to a new banner to provide enhanced product assortments and pricing tiers and to provide them more store locations to conveniently shop.  
 Fourth, we are planning to expand scale of our store footprint of both banners over the next 5 years. The Shoe Carnival enterprise is on track to operate over 400 locations during 2023 and targeting 500-plus stores in the 2026 to 2028 horizon through organic expansion and targeted M&A activity. We see the largest white space opportunity for store growth, is with our recently acquired Shoe Station banner. And as shared earlier, we aim to grow to over 100 Shoe Station stores in the 2026 to 2028 horizon.  
 Based on real estate availability with our targeted demographic and the timing of attractive new developments in strategic geographies, we anticipate approximately 10 new stores in 2023 and an acceleration in 2024 and beyond.  
 In conclusion, Q3 marks the seventh consecutive quarter of double-digit operating profits. Customer counts funds at the highest level ever, surpassing 31.5 million loyalty members. Earnings per share year-to-date has more than doubled all but one of the prior 44 full year results. And we are on track to deliver against our EPS and strategic targets for the remainder of fiscal 2022.  
 With that said, I will ask Carl to discuss our performance further. Carl? 
Carl Scibetta: Thank you, Mark. As Mark highlighted, today's results are strong evidence that our strategy is working. During the third quarter, we experienced a 50-50 athletic-nonathletic sales balance. This was a shift of 700 basis points to the nonathletic category compared to 2019. We anticipated this move in consumer demand to the nonathletic product and positioned inventories to take advantage of this fashion chain.  
 Supply chain continues to -- issues continue to impact athletic inventory availability early in the quarter. However, we did see improvement in the athletic footwear deliveries as we moved through the quarter. Entering into the fourth quarter, inventories by category are in line with forward sales expectations.  
 Our outstanding team of merchants continues to diligently manage the supply chain. And looking ahead, we believe the supply chain issues we've been dealing with for over 2 years will continue to improve to a more normalized state as we move into fiscal 2023.  
 At quarter end, our inventory forward weeks of supply was in line with 2019. Importantly, both aged inventory and seasonal carryover inventories are in line. As a result, we do not have a glut of inventory and see no need to provide deep discounts or dump goods in the fourth quarter.  
 Turning to the results. As mentioned, our anticipated shift from sales -- in sales from athletic categories and non-athletic categories continued in the third quarter. Sales in nonathletic categories were up in the mid-30s versus 2019, and sales of athletic footwear were up in the mid-singles. Sales versus 2021 were up in the mid-singles for nonathletic and down in the low 20s for athletics.  
 By department, women's nonathletic was up in the mid-20s versus 2019. Sales were driven by dress, up in the mid-40s; sport, up in the mid-30s; and sandals, up in the high 20s. Men's nonathletic sales were up in the high 30s versus 2019. This was driven by men's casuals, up over 50%, which further reflects the consumers move from athletic to nonathletic footwear for the back-to-school time period. Men's boots were up in the high 20s, and men's dress was up in the mid-teens compared to 2019.  
 Shoe Carnival continues to be the retailer of choice for children's footwear in the markets we serve. Children's nonathletic sales versus 2019 were up in the high 60s. Children's casuals drove increases up over 100%, and infants' nonathletic sales were up in the low 60s. Sales in children's athletic were up in the low teens, and adult athletic were up in the low singles versus 2019.  
 With the fashion trends we are seeing and the improved product flow, we anticipate strong sales results in the nonathletic categories for the remainder of 2023, excuse me, 2022.  
 As we have seen in the past 7 quarters, we continue to deliver excellent product margins. These product margins continue to run up over 700 basis points versus 2019 and are a result of our transformational promotional strategy. We continue to use the data provided from our best-in-class CRM program to drive loyal customer growth. This data provides us valuable insights into our over 31 million customers and enables us to engage with these consumers through smart, effective promotions that are not margin-dilutive. The success we have seen utilizing this strategy has been a key factor in our sales and margin growth.  
 As we move into the fourth quarter, the nonathletic categories traditionally increase in penetration to total sales. Our inventory position in those categories is much improved versus last year. Our seasonal boot inventory position is much better than last year, and our athletic inventory levels and freshness are the strongest they've been throughout 2022.  
 With that, I will now turn the call over to Kerry for a review of our financials. Kerry? 
W. Jackson: Thank you, Carl. I'm excited to share with you the financial highlights from another successful quarter which again demonstrates the transformed and sustainable profitability profile for the company. Similar to previous quarters this year, I will be comparing results versus 2019 as we see as the most relevant and normalized period prior to start of the pandemic.  
 Net sales in Q3 were $341.7 million, which were the second-highest quarterly sales in our history, surpassed only by Q3 last year. These sales increased $67.0 million or 24.4% compared to the pre-pandemic third quarter 2019, driven by sales from the Shoe Station banner and a comparable store sales increase of 18.3% from the Shoe Carnival banner. This is the highest quarterly comparable store sales increase for the year, with Q1 increasing 16.8% and Q2 increasing 8.0%, resulting in a year-to-date comparable store sales increase of 14.4%.  
 Our Q3 gross profit margin was 38.3%, a 740 basis point increase compared to the third quarter of 2019.  
 An increase in the merchandise margin of 760 basis points was partially offset by a 20 basis point increase in buying, distribution and occupancy costs.  
 SG&A expense in Q3 was $87.3 million or 25.5% of sales compared to $66.6 million or 24.3% of sales in Q3 2019. The increase in the SG&A was primarily due to investments in advertising and store level wages along with the expenses for the Shoe Station banner acquired last year.  
 Q3 operating income was $43.6 million or 12.8% of sales. This is in line with our expectation of annual double-digit operating margins, which are more than double of our historical run rate.  
 Net income for the third quarter of 2022 was $32.7 million or $1.18 in diluted earnings per share, an increase of 151% compared to the third quarter of 2019. Excluding the stimulus-enhanced 2021, this is the highest quarterly diluted earnings per share in our history or the fourth highest including 2021.  
 We closed out our quarter with inventory of $392.3 million, which is up $94.3 million compared to the third quarter of 2019. Approximately 40% of the increase in inventory is for Shoe Station stores acquired last year or opened this year and in-transit inventories. Net of these increases, inventory is 19% higher than the end of Q3 of 2019.  The increase in inventory is supportive of the 21.9% increase in net sales compared to 2019 and the expectation of increases in sales for the remainder of the year.  
 During the third quarter, we repurchased 451,638 shares at a total cost of $10.0 million. We have $19.5 million available under our repurchase program which expires December 31, 2022.  
 Summarizing our expectations for 2022 fiscal year. We expect sales to range from $1.27 billion to $1.30 billion, gross profit margin to be approximately 37.0%, operating income margin to range from 11.5% to 11.7% and diluted earnings per share to range from $3.95 to $4.10.  
 Implied in our annual sales guidance, Q4 comparable store sales are expected to increase between 14% and 26% compared to Q4 2019. However, as Mark mentioned earlier, we are cognizant that our customer may be challenged with higher inflation in Q4. Based on this outlook, our year-to-date performance and fourth quarter expectations, we are more comfortable with the mid to lower range of our annual guidance.  
 In closing, our third quarter results are a continuation of increasingly sustainable profitability for Shoe Carnival compared to prepandemic levels. We are confident in our ability to execute the remainder of the year, and we are poised for long-term growth through a combination of organic store expansion and modernization and selective acquisitions.  
 This concludes our financial review. Now I'd like to open up the call for questions. 
Operator: [Operator Instructions] Your first question comes from the line of Sam Poser with Williams Trading. 
Samuel Poser: First of all, Kerry, just some housekeeping. Can you give us the merch margin and the BD&O leverage year-over-year instead of going back to '19, please? My math is not that good. 
W. Jackson: Our merch margin increased 760 basis points for the quarter, and we deleveraged BD&O by 20 basis points. 
Samuel Poser: Versus last year? 
W. Jackson: No, against the '19. 
Samuel Poser: Can you give us versus last year. Year-over-year. 
W. Jackson: Let's see Sam. We were  -- our merch margin was down 70 basis points. And we deleveraged our BD&O by 140 basis points. 
Samuel Poser: Thank you. Then can we talk a little bit about the inventory levels and sort of what -- given that sales -- total sales on a year-over-year basis were down in the quarter, and I understand how inventory was last year, but you did a lot with less last year. How do we -- what is sort of the optimum turn -- inventory turn for the company on an annual basis? 
Carl Scibetta: Sam, I don't know if we're ready to give that information with the Shoe Station banner coming online and how that business is going to accelerate with store openings. I know that the inventory levels a year ago were pretty much spotty based on deliveries. We feel comfortable where we are today and where we're planned going forward to achieve our goals. 
Samuel Poser: Okay. And then just for the sake of definition, because you guys -- everybody defines it a little differently, carl, could you discuss sort of in that sport, which is your nonathletic sort of sport casual product, could you give us some -- like if you move that -- can you give us some examples? You don't have to tell me -- Just some examples of what would fall into that sort of -- what you view as nonathletic, but it's more sport-oriented while some of your competitors, I believe, may have those in the athletic category. So can you give us an idea? 
Carl Scibetta: Yes. Sam, the way we look at it is if you can play a sport, you can run, you can work out in it, if it's something that you can do physical activity in, it's in the athletic area. If it is -- has an athletic field, but it's not functional, it goes into the sport area. 
Samuel Poser: And how -- where would a walking shoe be then? 
Carl Scibetta: It depends on if it is a true technical walking shoe or more of a casual walking shoe. 
Samuel Poser: Got you. Okay. We're not going to get anywhere with that. Can you give us some idea -- and you mentioned that the supply chain was getting better. Can you -- can somebody dive into that a little bit and just give us some more color there as well. 
Carl Scibetta: Sure, Sam. When it -- we're seeing more consistent on-time deliveries on product that was placed as we move into third and early fourth quarter across all categories of footwear. Over the last 12 to 18 months, it was spotty, depending on the category. Whether it was athletic, whether it was nonathletic, it tended to swing back and forth based on the timing and production and country of origin and COVID. We're not seeing that anymore. We're seeing products in all categories of footwear, athletic and nonathletic, being available on time based on the way we placed the orders. 
Mark Worden: Sam, I'll add to that. From a standpoint of the cost standpoint, we're seeing in the first half of the year, we saw [indiscernible] in our supply chain due to fuel and transportation costs of over 300 basis points Q1 and Q2. This past quarter, it was a little over 100 basis points. And we're expecting to see that potentially drop a little bit in Q4. So we're seeing cost savings also as the supply chain of field. 
Samuel Poser: And I know it's tiny. I know it's a tiny amount of business that you've done so far in the quarter and the big and the huge weeks are coming up, but can you give us some color on sort of, I guess, how it's going? How much do the first couple of weeks inform the guidance? Or is it just -- just any color you can provide there? 
Mark Worden: You hit upon it, that it's really hard to get any guidance at this point because the big weeks, the sales are ahead of us. So anything we're seeing right now is not really material to our overexpectation of what the quarter is going to be turned out to be. 
Samuel Poser: And in the fourth quarter, historically, what is athletic to nonathletic be then, and boots within that as well as a percent of sales? 
Carl Scibetta: Boots in the nonathletic categories for the quarter tend to run about 45% of the total of the women's and the children's nonathletic business. Yes, I don't have the number in front of me, but typically nonathletic versus athletic in the quarter where we have been a 50-50 business tends to drop to more of a 60-40 non-athletic business. 
Samuel Poser: And based on what you've seen on the overall trends, do you expect -- and how you bought it, do you anticipate that we could see a 65-35 this year? Is it sort of going in that direction from the nonathletic, athletic into this fourth quarter? 
Carl Scibetta: Sam, that will be determined really by weather. And as we move through the quarter, the weather has a major factor in the boot penetration. And weather seems to be turning colder and we'll see what happens. 
Samuel Poser: And you bring up a good point, then I'll get off. Over the last 6 or 8 weeks, we've seen the weather get cold, they get warm, then get cold. Did your trends in those category -- that category follow that? Because I've heard from other retailers that they were feeling great about 4, 5 weeks ago when weather was cold, then it got warm and they were growing and then getting colder again, they're feeling better. Are you seeing -- have you seen the same kind of roller coaster over the last, call it, 6 weeks or so? 
Carl Scibetta: Yes. Sam, we certainly see the weather always -- is always playing a factor. And you have to look at the weather this year, last year, but it flip-flopped a little bit. .
 What I know is we have great boot inventory. We're in a much better position than we were from a delivery standpoint from a year ago. And we fully expect, once the weather -- and we just have seen some movement in the weather, it stays consistent, we think we're ready for a great holiday season in the boot categories. 
Operator: This question comes from the line of Mitch Kummetz with Seaport Research. 
Mitchel Kummetz: Kerry, on Q3, I don't think you gave the comp on a year-over-year unless I missed it. I think you only gave it on a 3-year. What was it versus last year? And then can you also give us the months or maybe just a little bit more color on how the months played out for the quarter? 
W. Jackson: Yes. Mitch, we were down 9.9% against 2021. And what we saw was that it was fairly consistent that level except October increased over the average. 
Mitchel Kummetz: Okay. And then just back to Sam's case, I know that the first couple of weeks of October are small, but has that trend from October continued into November? Or has it gotten better or worse? 
W. Jackson: Mitch, we typically give information held at quarter starting when it's relevant to the overall. So we don't shy away from doing it. But it really is immaterial, whether it's positive or negative at this point, really we'll start to see it a day after Thanksgiving, that's then the real dollars sales start having. So the trend right now is not relevant to our guidance. 
Mitchel Kummetz: Sure. On merch margin, or I should say, gross margin, I think you're saying 37 for the year. Back into something that's kind of in the high 37 range for Q4, which would be up like 850, 900 basis points on a 3-year, that would be an improvement over kind of what the trend has been through the early part of the year. Can you talk a little bit about that? And maybe also in the context of kind of how you're thinking about promotional activity in the fourth quarter. 
W. Jackson: Mitch, you're correct on those numbers. And the way we're looking at it is that Carl talked about how we expect it to go from athletic to nonathletic in the fourth quarter so I have a higher penetration in nonathletic. We drive a higher merchandise margin on our nonathletic part of the business. 
 We also, as I mentioned earlier, that we're seeing our supply chain cost and our leverage or our BD&O come into play. So now we'd expect to see at the low end of our guidance leverage on our BD&O slight leverage in Q4, which here again helps that overall gross profit margin. 
Mitchel Kummetz: Okay. That's helpful. Just a few last things. Carl, on the athletic business, I think you said it was like down in the 20s in the year-over-year and the third quarter. Can you maybe speak to how constrained you are in athletic on the inventory side and how that's changing for Q4 and how that might impact your outlook for athletic in Q4? 
Carl Scibetta: Sure, Mitch. Early in the quarter, as we came through those big back-to-school early weeks, deliveries were a bit late. So scrambling on getting product in those big weeks hurt us a bit. As we moved into later in the quarter, our inventory is much more in line. And today, with October deliveries setting us up for holiday, our inventory's in the best shape from a freshness fashion and quantity standpoint than it has been throughout probably the last year. 
 So we feel pretty good with that. And with the athletic consumers out there, we're going to get our share. 
Mitchel Kummetz: And can you also remind us that challenge you were on the boot inventory last year in the fourth quarter. If I recall correctly, there are a fair amount of things that didn't actually ship until the -- or you didn't maybe get receipts until the first quarter. 
Carl Scibetta: Yes, exactly. Exactly. Boot inventories were down significantly last fourth quarter. 
 I would say -- I would say, 1/4 of the boot inventory didn't hit in time to really take advantage of it during the meet of the season. 
Mitchel Kummetz: Okay. And then just a couple of other things. We've kind of gone through a lot of vendors reporting earnings the last month or so and some of them have talked about excess, which has resulted in some cancellations. Others have talked about offering, some of their wholesale partners discounts. I'm just wondering, Carl, if you're seeing any good deals out there on inventory as maybe some retailers are working through some excess and if that's having any impact on the -- on the margins in the fourth quarter, if you are bringing in some good deals. 
Carl Scibetta: We take advantage of opportunities when they're presented to us and they make sense. I would say there's no more -- there's not much more of an increase in that category than there has been in the past. There is a lot of product in people, wealth vendors and retailers are reflowing products as we move through the remainder of the fall season and all the way into first quarter. But it really is -- it's really based on category, Mitch, on where those overages are. But we don't see a big increased promotional activity, either from opportunistic buys for the fourth quarter or having to dump inventory because of problem inventory. 
Mitchel Kummetz: Okay. And then lastly, Mark, on the loyalty, I think you said that now Shoe Carnival and Shoe Station are integrated and customers of either banner can use points to redeem on the other banner, I'm curious what you're seeing like -- first of all, like when exactly did that happen? And I'm curious to see what you're seeing on the Shoe Station side as a lot of Shoe Carnival customers become aware of Shoe Station and kind of different product assortment being offered there. 
Mark Worden: Yes. We're thrilled, Mitch. 31.5 million customers across 2 banners, up over 35% for 3 years. So we have a critical mass now to market cross-banner across geographies, across price tiers and assortments. It's too early to really share anything insightful as it just happened towards the end of Q3, but we're getting that data in hand of over 1 million shoe station customers now and we've learned what we hoped to have learned when we acquired them. 
 First, they are a highly affluent customer. Second, they're suburban customer. And third, they're coming from geographies across the markets where Shoe Carnival largely does not compete and with the space we wanted to enter. So that's allowing us to figure out how to move quickly from our current store count, as I shared, are aimed to have over 100 stores open by that '26 to '28 time horizon. 
 Lots more to come from this, a lot more long-term sales, a lot cross merchandising and we're really just at the first pitch of the first inning of leveraging all of the upward sales and profit opportunity from this new integration. 
Operator: Next question comes from the line of Jim Chartier with Monness, Crespi, Hardt. 
James Chartier: First, just want to ask, last quarter, I think you said Shoe Station would be 10% above your initial sales expectation for the year. Now it looks like it could be a little bit lower than that. So just any color around the reduced outlook at least on the low end there. 
Mark Worden: Yes, it's Mark. I would just get to say we're widening the aperture. It's still expected to beat all of our expectations. Profits are coming in strong. We're finalizing our supply chain integration right now and really starting to leverage merchandising insights to drive for higher profitability. So we've widened the aperture to take account for any minor changes that go through the supply chain during this moment in time in Q4. 
 Either way, we're guiding to beating the original $100 million and 10% operating profit by the mid singles to low double digits. Just widening the range a little, not lowering. 
James Chartier: Okay. Makes sense. And then what's the launch date for the e-commerce, if you have one? 
Mark Worden: Yes. We're in great shape. The shoestation.com launch is in the final testing phase. Similarly, we're making sure the supply chain is flawless before we turn it on. We need an outstanding experience, and we think we're very close. It will either launch just in time for this holiday. Or if we're still fine-tuning the supply chain side of that, then it will launch in early Q1. But we're thrilled with what we're seeing and ready to ensure a flawless customer experience in the next couple of months, if not the next couple of weeks. 
James Chartier: Okay. And then just your merchandise margins are holding up great. Any color you can provide on the industry promotional activity you're seeing? Have your competitors from your vantage returned to historical promotion levels? 
Carl Scibetta: Jim, it's Carl. Depending on the retailer, we're seeing some of that. We're seeing it really done by global promotions, which is something that we have eliminated from our marketing strategy, with additional coupons and valued total messages. 
 And our direct competitors, we're actually not seeing as much of it, but we're seeing it with some of the big nationwide retailers that are trying to move inventory or stimulate traffic in the stores. But we're -- at this point, we're comfortable where we are, and we think we -- our margin goals are well within reach for the quarter. 
Mark Worden: And this is Mark. Let me add one more point. Historically, Shoe Carnival had run well over 40 weeks a year of the buy 1, get 1 half off promotion during the course of the year. This year, we've run none and have been pleased posting the seventh consecutive quarter of double-digit operating profit. And as we shared, the Q3, our most important quarter of the year, was our second strongest sales in history. 
 So we're confident the strategy is working. While other retailers in our space continued with that outdated, buy one, get one half off year-round and many other competitors punctuated it during back-to-school, we have stayed true to what we said. We're going to sustain double-digit operating profits and we're going to grow by targeted loyalty enhancements. Case in point, we're now achieving 31.5 million people we can talk to about what they want, not just giving away our best product at a cheap price. 
Carl Scibetta: One more thing, Jim, I'll add there. Fourth quarter, we know in certain categories is a promotional quarter. We buy for that to run those promotions and make sure that the results of those promotions activity is not margin-dilutive. So promotions you see from us from the fourth quarter are all planned and baked into the forecast. 
James Chartier: Great. And then just, Kerry, what's the CapEx requirement to fund new store growth next year as well as the remodels? And then what's kind of your thought on buybacks in lieu of that higher CapEx requirement next year? 
W. Jackson: We're expecting to do about a little over $70 million in CapEx this year, and that's really being driven by the number of remodels, the modernization of our stores that we're doing. We're leaving ourselves some flexibility next year. We expect to have less CapEx between new store growth and the, remodels. We should expect somewhere between $50 million and $60 million in CapEx between the 2. 
James Chartier: Okay. And then just kind of big-picture thoughts on the buyback. You got back in the market this quarter, but going forward, how are you thinking about that? 
W. Jackson: The same as we always have, is that our first thought is how do we fund growth? And are there any opportunities there. Then we fund our dividend. And if we have excess cash, then we don't think we're going to need to deploy it and we can -- we continue to build cash later, then we'll do a buyback when we see the stock being unfavorably viewed by the Street. 
 So we'll still be optimistic in the future. But we're really focused more on the growth side of the business. And as we transition to store growth next year, that's going to be our primary focus. 
Operator: The next question comes from the line of Sam Poser with Williams Trading. 
Samuel Poser: I have two follow-up questions. One, we recently -- in the last week or so saw a buy 1, get 1 on some boots. And it looked like they were brands I didn't recognize. So was that one of those planned events, Carl, that we just saw online, that looked around 11/11 or something like that. 
Carl Scibetta: You are correct, Sam. That was a planned promotion on a select group of boots, and they were purchased specifically for that promotion as we have done in the past. . 
Samuel Poser: Okay. Mark or both Mark and Kerry, I think that you said a couple of stores from Shoe Station moved from Q4 to Q1. Is that correct? 
Mark Worden: That's correct, Sam. We moved 2 out of the end of January into Q1 so we could ensure that we open them with our new store prototype versus have an outdated and have to remodel it down the future. 
Samuel Poser: So there was no impact from that or de minimis impact from that store opening change to the widening of the guidance for Shoe Station? 
Mark Worden: Nothing material now. It was going to open the last week of the fiscal. We're just being transparent that the store count we had said would be 400 is now going to be 398 with those 2 moving out shortly to meet the prototype. 
Operator: At this time, there are no further questions. I would like to turn the call back over to Mark Worden for closing remarks. 
Mark Worden: I'd like to thank you all for joining our Q3 call and wish you all a very happy Thanksgiving ahead and a safe and healthy holiday. We look forward to talking to you all again at our Q4 year-end call. 
Operator: This concludes today's conference. You may now disconnect.